Operator: Hello, everyone. Good morning, and welcome to Adcore's investor update conference call. All attendees are on mute and in a listen-only mode for the duration of this conference. On today's call, the company CEO, Omri Brill, who will provide a management declaration. Subsequently, Adcore's CFO, Amit Konforty will present a financial overview of the company's Q4 2023 and a full year 2023 financial statement. We will then address pre-sent questions and, time permitting, take questions from participants. Before we proceed further, I want to ensure your attention to the Safe Harbor statement applicable to our discussion. It is important that you take a few minutes to read the statement carefully. The statement will also be viewable on our website once the call is finished. Please take a moment to review the statement on your screen. I will now turn the call over to Adcore CEO, Omri Brill.
Omri Brill: Thank you very much, Atara, and, welcome everyone for, today, earning call. It's my pleasure to present our Q 2023 numbers and the full year 2023 numbers and obviously, discuss the strategic initiative the company will take already taken in 2024. So, let me share my presentation, please. Second, Q4 2023 and the entire year of 2023 was a period of strong performance for Adcore, marked by significant achievement and positive growth. So all-in-all, we are very pleased and happy with the result we achieved in Q4 and obviously for the full year of 2023. And let's dive into some numbers. So, if we look at the Q4, top-line revenue, it was CAD9 million, compared to CAD8.8 million in the previous year. And total gross profit was CAD3.7 million for this quarter. So all-in-all, quarterly, we achieved 3% year-on-year growth and a full year, we achieved a significant 17% year-on-year growth in top-line revenue. And when we talk about quality growth KPI and we mentioned historically was 2023, two main KPIs. We talk about gross margin and we talk about North America revenue. Then if we talk about gross margin, ideally, we want them to be 40% or higher and we can definitely see that during the entire year, both Q1, Q2, Q3 and Q4, it was 40% or higher. So, 40% in Q1, Q2 was 43%, Q3 was 40% and Q4 was 41% as well. So, this is exactly where we wanted to be, and this is a positive indication for the company that, basically, we have quality growth not only growing but also growing, in terms of the quality of the growth. And if we talk about North America revenue, which is a strategic market for the company, then we can definitely see that we achieved a very nice, growth in top-line revenue over there as well. Q4 of 2023 was CAD2.1 million and we saw a nice increase in quarter-over-quarter growth between Q4 to Q3 as well. So, again, we're very pleased with the result in this important market for us. And if we talk in Amphy, then we can clearly see that the investment in Amphy’s declining. This is according to the strategic decision the company is taking. So, if the peak of this investment was Q2 and Q3 2022, which was around CAD100,000 monthly. It was down to CAD27,000 or CAD25,000 in Q4 2023. And all of the every R&D and they have investment in Amphy, I can clearly say that we completed it. So, basically, moving forward to 2024, we estimate it to be a very, I would say, low maintenance investment of around 10,000. It's not going to be significant to the company anymore. So, basically, most of the investments that we put in our fees already behind us, and that's positive news. So, obviously, investment not going to be any longer a burden on the company's financial result, which is positive as far as the company concerned. So just to some of the report highlights and yearly, we're talking again 17% year-on-year growth, which is impressive. APAC revenue grew by 14% year-on-year. EMEA revenue grew by 20% year-on-year, and North America revenue grew by 18%. So, we can see that we have a positive growth across all region in 2023, which is a very positive sign as far as the company concerned. Gross profit increased by CAD1.2 million and, again, gross profit and gross margin is a very important KPI for the company in 2023. Quarterly numbers, revenue grew by 3% year-on-year. North America revenue grew by 11% year-on-year. Operating profit grew by 22%, and I think this was a first quarter in a long time that we also was net profit as well. Amit can discuss it in more detail, in his section of this earning call. And cash and cash equivalent grew as well 17 plus 7 [ph], so it's 7% quarter-over-quarter. So, also, the balance sheet grew positive for the company. And so, swap end quarter in 2023. We mentioned that we have a few targets in 2023 that we want to achieve, and I'm glad to report to our shareholders we achieved all of them. So, we've done a strong balance sheet. Again, a cash position is strong and basically, the balance sheet look, very positive. Second KPI was keep the gross margin above 40%, which we managed to do. So, their target was to achieve that double-digit growth revenue, cost profit and operating profit as well. We achieved all of that in 2023. Top-line grew, middle-line grew, and bottom-line grew as well. All of them are double-digit growth. Number 4, expand our global footprint in North America as well. We saw a nice, year-on-year growth in this important region. Number 5 was setting the strategic partnership to drive mutual growth and market share. So, we solidified few important strategic partnership in 2023 with key players like Criteo and other beside the existing partnerships that we already have and basically managed to maintain with Google and Microsoft Advertising. And number 6 is invest in research and development. And I'm glad to report that we just in 2023, we launched three new apps to the Adcore marketing cloud. So, again, big investment in R&D as well from the company point of view. So, again, check, check, check across all these six important KPIs. And another thing that I glad to report that if you were there, look at the company, share price lately, then you can definitely see we had a nice leap up in the share price. So, from the dips that we have, which was around $0.17 just few months ago, now we see a nice uptick in the stock price to $0.0255 currently as of yesterday numbers. If you look at three months, it's the stock price, it's grew by almost 40%, 38%. Six months, 16% increased, and even 12 months, we already flattened. So, basically, finally, we see some very positive momentum within the stock price. But as far as the company percent, this is just a very, very early beginning. So, trust me, there's a lot of upside to see within the Adcore stock price, and the following number will tell the exact same story. So, if you look at comparable and we make a comparable with all, let's say, leading ad tech or multi companies, trading both on the Toronto Stock Exchange and in the US Stock Exchanges, then we can see an upside opportunity of 200% or even 1000% if you talk about gross profit, EV to gross profit. And, again, we definitely believe the $0.25, even 50% to $1 still not going to represent the true valuation of the company. So, like I say, don't cry that you didn't bought it to $0.70. You still have money to be making in even in $0.25 and $0.50 surprises the way the company believe. And if you look that we put our money where our math is, basically, the company continue in Q4 to buy purchase or we share for cancellation. We purchased 70,000 shares for cancellation in Q4 2023. And all-in-all, in the past year and a half or two years, we purchased and canceled more than 4 million shares. Obviously, once we're going to have a positive momentum in the stock price, and now we're starting to see one, then, obviously, the fact that the company can't set more than 4 million shares will definitely contribute to a more aggressive upside. That's the way the company believe at least. And so, we discussed 2023. We discussed Q4 2023, the full year 2023, and we are very happy with the result we've been able to secure in this year. But equally important, is what is ahead of us in 2024 in the API. And I want to talk about what the company identified as four strategic pillars for the company in 2024 and obviously, behind 2024. So, the first pillar is what we call technology and AI. And by technology and AI, we're not only talking about the proprietary technologies we are developing in our so the AI representation within our tools, but we're also talking about the technologies that we can work within the different ethical departments. So, I would say usage of technology, whether we develop it ourselves and usage of AI is critical for the company ability to grow in the future. And in 2024, we're going to put even more emphasize on these important metrics. And second one is focusing on enterprise and aggregator. By aggregator, we mean, for example, ad agencies that manage multiple advertiser and not only singular advertiser the way we see it. If we have relationship with this type of clients, basically, the LTV and the overall, let's say, partnerships that we can get from this type of client is much more beneficial for Adcore than if we have, let's say, relationship with small or midsize clients. So, for us, focusing on this type of clients is critical as well. The survey pillar strategic pillar is basically self-service or what we call, do it yourself or low touch type of -- type of offering. And the way we see it, this type of, let's say, offerings that we have, which are self-service will allow us to scale faster than basically be more efficient as a company. So, basically, the fact is we can offer all of our services and all of our technology and self-service as well. It's critical for the company able to be more efficient and basically grow faster. And last but not least is synergy between the different initiative, the different offering, the different solutions that we have. Obviously, if we have some client, for example, start to use, let's say, Adcore technology, and then we can scale him up across in some other solutions that Adcore have. Obviously, creating a synergy by that. So, we increase the LTV. We increase the value of each client and that's critical for what the company is doing as well. So, technology and AI, enterprise the large aggregators, low touch, do it yourself type of offering and synergy. These are all for very key and strategic pillar for us in 2024. And just to give you an example, so let's say now we're going to develop a new app to that for marketing cloud, and this app going to target, let's say, enterprise type of clients and going to offer, let's say, self-service type of operation, then we already touched for three, so we're out of the four strategic pillars. So, we touched the technology and AI because we developed a new technology. We touched enterprise because, let's say, this app, for example and a good example is one of the last apps that we developed is Feeditor Plus. It was designed for enterprise clients that have a very large feed. So, obviously, the order is large enterprise clients. So over there, checked as well. And obviously, it's a self-service. So self-service first as a solution offering, then we touch low touch and do it yourself as well. So, I think that's a good example. I would, let's say, an initiative that the company do did the recent initiative the company did, for example, develop the AI is basically touching technology and AI touching enterprise, and touching low touch, do it yourself type of offering as well. And every single, let's say, solution or technology that the company is develop or offer, basically, we want to make sure that we have a very flexible, offering around it. So, basically, it could be either self-service, the client can go log into the app and do everything itself. It could be many services, so we can have Adcore expert at the client to set up, let's say, the feed, for example and optimize the feeds if needed. And this can be eyewear as well. So, some of the activity maybe can be done by Adcore expert, and some of the activity can be done by the client themselves. The fact that we offer this flexible service packages basically give us more ability to win more clients that's critical for the company. I don't know if you guys visited the Adcore website recently, but in the last two months or so, we put a lot of effort rebuilding the company website. We launched a lot of new pages within this website to redo some of the web pages and did a good restructuring of the of the company website. And the way the company now website is structured is similar to the way the company is structured, basically. So in from one end, we have the Adcore marketing cloud. Under this cloud, we have all the different apps that the company developed, whether it's Feeditor Plus, Feeditor, Effortless Feed, Alerter, Media Blast, Semdoc and Adcore views as well. And, basically, all new apps that we're going to develop, going to be sit under this section, which is the Adcore marketing cloud and under Adcore marketing solution, currently, we offer, four different marketing solutions. The first one is brand and awareness. That's a new activity the company, enter into, which is programmatic advertising, CTV, outdoor advertising as well. And we already had some very successful campaigns and case study around that. You can find it online in our website. The second one is performance marketing, more low and final type of activity, then data analytics. That's, again, a new initiative or in a new solution, marketing solution the company is offering. And last, but not least is the studio and creative offering as well. So much more acknowledging, let's say, apps and the offerings that we offer now 2024 compared to what we had, let's say, have been the same period in, last year in 2023, and the same apply for marketing solutions as well. When we talk what should be the key metrics for the company in 2024, so every time we report an earning result or earning call, we do an earning call for 2024. So, do look on the following KPIs in order to see if the company is moving in the right direction. The first one, which was the same one as we have in 2023 as well, is still a very strong partnership with focus on increased cash reserves. So that's remained to be a focus for the company. Keeping the gross margin above 40% is yet another, KPIs that we basically continue from 2023 to 2024, achieve double-digit growth revenue-wise, top-line, middle-line, middle storyline and the bottom-line as well. That's something we would like to achieve in 2024 as well and we are very optimistic in the company ability to do so. So, we had a very successful year in 2023 and the company is equally optimistic about what we can achieve in 2024 in that regard. And new KPIs expand our marketing technology and marketing solution offering the more solution we have, the more technology we have, the higher, let's say, the sales that we can do and the revenue we can generate. So, a good quarterly, earning report should have, let's say, a strong balance sheet. So that should have gross margin 40% to higher, should have a double-digit growth top-line, middle-line and bottom-line as well and should have, let's say, an expansion in the technology offering and the marketing solution offering of the company. And so, let's say, hopefully, we can achieve all of that in 2023 compared to the same achievements that we did in 2020, sorry 2024 compared to the same achievement that we did in 2023 or even better. And last but not least, I want to talk a bit about the company's social responsibility. Keep on writing. It's a very nice initiative the company took following the October 7 events in Israel. And basically, we decide to keep to start an initiative, basically, and to donate and repair bicycle for evacuated communities and kids, especially within these communities. And, already glad to report that we managed to deliver more than eight other pair of bicycles to the different communities, and we managed to raise more than 500 NIS. And under this initiative, some of this money come from the company and from, managers and director within the company, but, we had literally donors from all over the world. And two new initiatives, that we did recently under this very important project is we delivered 105 new pairs of bikes to Kibbutz. That was literally done one month ago, and we delivered two months ago one of the 10 new bikes to Kibbutz. And, again, in a very nice event, both of them. And I encourage everyone to visit the company, keep on riding web page or the social media pages related to this initiative. Take part contribute, this is a very important initiative the company is taking. It's very dear to our heart as well. So, we want to thank everybody that's contributed this initiative, and we encourage you if you didn't do so to do so now. It's never too late. So, thanks, everyone. I'm going to hand it now to Amit.
Operator: Thank you, Omri for your performance insight. I will now pass over the call to Adcor's CFO, Amit Konforty, who will provide an overview of the Q4 2023 and a full year 2023 financial statements. Amit?
Amit Konforty: Thank you, Atara, and good morning, everyone. So before beginning the financial overview, I would like to remind you that the following discussion will include GAAP financial measures as well as non-GAAP results. All amount will be presented in Canadian dollars. In 2023, Adcore had a successful year characterized by a significant revenue growth and significant increase in both profitability and cash flows. And now let's review in more details. For the three months ended December 31, 2023, we delivered revenues of CAD9 million, compared to CAD8.8 million in the same period of 2022, an increase of CAD0.2 million or 3%. Gross profit was CAD3.7 million, compared to CAD3.8 million a decrease of CAD0.1 million or 3%. Regarding gross margins, for the three months ended December 31, 2023, they were 41% compared to 43% in the same period last year. As for operational expenses, R&D expenses for the quarter were CAD0.6 million, compared to CAD0.4 million in the prior year. The main reason for the increase is we started amortizing Amphy's intangible assets at the fourth quarter of 2023. SG&A expenses for the quarter were CAD3 million, compared to CAD3.2 million in the prior year. Operating profit remained steady at CAD0.1 million, similar to prior year. Net profit was CAD0.1 million, which is a significant improvement from a net loss of CAD0.5 million last year. Moving on to total revenues and gross profits. On the left side of the slide, we can see a steady increase in profits in each of the quarters of 2023. We can also see that gross margin are staying in the target range of above 40%. On the right side of the slide, looking at the full year, we can see that revenue grew by 17% compared to the previous year. There is also consistent growth in profits over the year with a significant CAD1.2 million increase in 2023. Revenue breakdown. As for the geographical revenue breakdown for the full year, we grew significantly in each of our regions. APAC grew by 14% year-over-year. EMEA grew by 20% year-over-year and North America grew by 18% year-over-year. Now let's discuss about net cash from operating activities. In 2023, the company generated CAD1.1 million in net cash from operating activity. This is a major improvement from the CAD3.2 million used for operating activities in 2022. This improvement in cash flow is mainly caused by improving collections from clients and securing better terms with suppliers. In terms of financial position, we had a cash and cash equivalent of CAD8.1 million as of December 31, 2023, compared to CAD8.8 million at December 31, 2022. Total working capital amounted to CAD7.6 million, compared to CAD9.2 million at December 31, 2022, a decrease of CAD1.6 million or 18%. The decrease in cash and working capital is mainly caused by the investment in Amphy and by the purchasing of shares to the NCIB plan. As for the liability side of the financial position, we can see that the company is still debt free. Regarding the adjusted EBITDA, the quarterly non-GAAP results reflects adjustment for the following items, depreciation and amortization, share-based payment and other nonoperational items. For the three months ended December 31, 2023, adjusted EBITDA was CAD483,000, compared to CAD605,000 for the same period in 2022. Adjusted EBITDA only for the AdTech activity was CAD580,000 for the same period. With that, I will turn the call back to Atara.
Operator: Thank you, Amit. For your informative overview. We will now move over to our pre-sent questions. The first question that was submitted was what are your capital strategies with the best use of the CAD8 million? Omri, would you like to answer?
Omri Brill: I think, we are still a bit conservative regarding the use of capital within the company. So, obviously, the company is all the time investing in a future initiative, whether it's biotic technology to be develop developing, recruiting new personnel in the different office that we have around the globe. But the city in terms of M&A, we don't want to do M&A's before we know the markets are open again for a company like Adcore, and we can raise capital in the market as well. So, I think for now, we are still a bit conservative, but I believe the 2023 4th story will see a shift in that regard as well. And the company can start take a bit more, let's say, aggressive moves, including the use of capital. So, for now, conservative, but we'll see later down the road in 2024 as they develop.
Operator: The next question, can you comment on what drove the 17% YOY growth in 2023?
Omri Brill: So, obviously, we saw a very nice growth across all regions. So, APAC were growing for us for the first time and let's say if we need to compare 2022 compared to 2021. So, APAC we're growing, EMEA grew quite nicely, North America grew. So, all region were growing, which obviously, was an important factor in the company, overall ability to growing 70%. But I saw this combined with new initiative and new technology as a company, launched in 2023, basically, set us on the right path to this growth and success.
Operator: Next question. What were the key factors in the GM drop by 2 points between 2022 and 2023?
Omri Brill: So, I think 2-point drop, it's not a very significant, drop, right? It was, I think, drop between 43% to 41%. And as the company mentioned multiple times, as long as we are 40% or above, we're quite happy with this result. There's always a balance for a company in ethical size between how aggressive do we want to grow as a company and let's say, what should be the quality of this growth. So, we need to maintain this balance. And as long as we are able to maintain this balance and have quality growth on one hand, which is represented by, let's say, 40% or higher gross margin and ability to grow, let's say, almost 20% top-line like we did in 2023 compared to 2022, then we are very happy with these results.
Operator: Next question. Which regions do you expect to grow more in 2024?
Omri Brill: It's an interesting question. If I need to obviously, I'm not. I don't, we don't bet. But if I need to bet, I would say that, probably we should see nice growth coming from North America. We put a lot of emphasis in this specific region, and, obviously, it was already growing quite nicely for us in 2023 compared to 2022 and also 2022 compared to 2021. And we expect to see this positive trend to continue in 2024 as well.
Operator: What would you say is your biggest competitive edge over the competition?
Omri Brill: I would say, at the multiple competitive edges, I would say, first and foremost, we are quite and a global company. So, we have offices literally across the globe. Headquarters are in Tel Aviv, Israel, but we have, offices in Toronto, Canada, in the U.S., Melbourne, Australia, two offices in China, one in Hong Kong, and one in Shanghai. So, if somebody want to work with the global companies, basically speak multiple languages and can walk literally around the clock for you, then Adcore can be a good candidate to do so. So, this is one edge. The Biotech technology that the company have, it's an average. And the fact that we are full funnel marketing solution company, I would say, it's another edge. So, basically, global Biotech technology and basically cover all aspects within the marketing funnel.
Operator: The last question in terms of pre-sent questions. Can you please elaborate on your utilization of AI for both your business and your application for customer usage?
Omri Brill: So, literally, we use AI whenever we can, and that's not the slogan. It's something that we do on a daily basis and hourly basis if we're talking about technologies. Just one second. So, we use AI in multiple touch points. For example, we can use AI in order to enrich a client product feed. So, AI can help us, let's say, take an existing title and enrich it and basically make it more compelling in terms of marketing wise. That's one example. We can use AI, for example, to categorize product, within a product field, or we can use AI to analyze communication of user and understand if there's some things that flagged out, we need to put more attention into it. So literally, every almost in every aspect or every jobs that we do, whether it's technology or office wise. We use AI nowadays in order to do it better, faster, smarter.
Operator: So, I see we have two Q&A's in the comment section. The first question is, do you think you will be able to increase your margins this year into the higher part of your range?
Omri Brill: That's a good question. Like I mentioned before, there's a balance for company and Adcore'S. Like, in Adcore size between our passive, do we want to grow top-line and let's say, how important is the quality of the growth for us. And for us, between 40% to 50% should be, let's say, the norm and something that we should be, let's say, happy with. So, it's not a top priority for us to increase the gross margin because that can come on the expenses of top-line growth as well. So, I would say if it's happened, great. But it should happen as long as we can grow top-line and basically be aggressive and continue growing double-digit. So, it's not a major priority as long it's above 40%.
Operator: Next question. What are your plans for share repurchase in the next year?
Omri Brill: It’s a good question. I would say a few things. And because of the relatively low volume, we are very much limited on how many shares we can purchase within the market, and that's something you already started to see in the second part of 2024. So, I think we continue to probably as long as the share price going to be at least, I would say, below what the company think is a fair evaluation of the company. We'll probably continue to purchase the shares within the market, but our ability to do it in a very large scale is limited by the because of the exchange limitations. So, we continue to do it as long as we believe there's opportunity to do so.
Operator: We're going to take one final question from the Q&A. Can you speak as to Amphy and its overall contribution to the company at the present time?
Omri Brill: So, as I mentioned before, we finish all the major development and investment within Amphy. So that's part is behind us. So, in 2024, we shouldn't expect any large development or investment in Amphy. Currently, it's running on a minimum maintenance mode, and we are looking on a way we can monetize and do better use of whatever we have with Amphy, whether it's through partnerships we can establish or other initiative we can take. But currently, it's not a focus area for the company, and it's not going to require any more resources from the company at this point.
Operator: And with that, we are going to conclude. Thank you very much everyone for joining us here today. Omri, would you like to make a concluding statement?
Omri Brill: Yes. Absolutely. So, we want to again, thanks everyone to join this call today. I want to congratulate Amit for his first report. And it's a job well done. Amit, you took the responsibility, and we already net profit. So, you start the fit in the right foot. But, seriously, Amit did a tremendous job together with his team to put this report together. So, thank you, Amit, for that. And, I also want to thanks, Atara for being the host today and do a good job as well today representing the Adcore case. So, thank you everybody, and we'll see you again in the next earning call of the company.
Operator: Thank you everyone for your participation. If there are any other questions, you're welcome to reach out to us personally. Thank you.